Operator: Good day, ladies and gentlemen. Welcome to Basic-Fit's 2021 Year Results Conference Call and Webcast. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to your host for today's conference, Richard Piekaar, Head of Investor Relations. Sir, you may begin.
Richard Piekaar: Well, thank you, John. And good afternoon, and welcome to everyone our conference call, during which we will discuss our results of 2021. With me today are Rene Moos, our CEO; and Hans van der Aar, our CFO. This call is being broadcast live on our website, and a recording of the call will be available shortly afterwards. As usual, I would like to point out that Safe Harbor applies. We will start with Rene, who will discuss the highlights and the operational developments, followed by a more detailed look at the financial results from Hans. After these prepared remarks, we will open the call for questions. I would also like to not that this call will finish no later than 3 o'clock. And with that, Rene, I would like to hand over to you.
Rene Moos: Thank you, Richard. Welcome everyone. And thank you for joining today's call. At this moment a terrible war is going on in Ukraine. The images that we see on television are images we thought we would never see again in Europe. Our thoughts are with the Ukrainian people and everyone who is suffering in this conflict. This dreadful conflict puts things in perspective, including the results that we published this morning and which we will now be discussing. Focusing on our markets, we see market condition improving as governments in our countries are lifting the COVID-19 restrictions. Our company is in great shape, and we are at the start of a new era of higher club and membership growth. We have the financial means and a team of enthusiastic professionals to achieve this. More people than ever before will be able to exercise in our high-value, low-cost clubs, and live an active and healthier life. I'm excited that I can share with you that we are going to open our first clubs in Germany in the second half of this year. But more on that later. 2022 is also the year in which we will further accelerate our expansion in Spain. We will finish the year with at least 100 clubs, and this will make us the Spanish market leader. But also in the coming years, we will take further growth steps in Spain. Let's go to Slide Number 2, where we summarize the highlights of the year. 2021 was the second year that our company was affected by the global pandemic, especially in the Netherlands, Belgium and France clubs were closed for a long period. On a full-year base, our clubs were closed for 36% of the time. In spite of these difficult market conditions, we kept our focus and we were able to grow our network to 1,015 clubs, an increase of 110 clubs compared to last year. We reopened our clubs in the Netherlands in May and in Belgium, France in June. And be sure that our members quickly came back to our clubs. After reopening we also experienced a record inflow of new members. This continued until the end of July when France was our first country to introduce a health pass. Other countries followed later on. But really impacted our membership growth. At the end of the year, we still had grown our membership base by 11% year-on-year to more than 2.2 million. Our revenue was $341 million for the year. It was mainly lower because of a low membership starting point in combination with a long period of club closures from the start of the year. We ended the year with $361 million of available liquidity, which allow us to execute our club growth acceleration plan. Let's go to Slide 3. I really hope this is the last time I have to show this terrible graph. As you can see, we have had to deal with many different situations over the past two years. In 2021, as a whole, our clubs were close to 36% of the time, but in the first half of the year, the is amounted to 81% of the time club closure. If you look at Belgium and France, our clubs were closed for eight to nine consecutive months from October 2020 till June, 2021. Although Spain still has restrictions like wearing a face mask while working on the machines, the governments was one of the first to recognize the importance of fitness. At the time of arrival of the omicron variant more governments started to see the fitness as an essential industry, as a result of which we could stay open. Only the Dutch government decided differently. Lately, however, we see here too, that politicians and other policy makers are starting to treat us as an essential industry, such like supermarkets and pharmacies. When I look at the current situation of the pandemic, I'm optimistic. At the end of February, we were able to stop our gym time reservation system, in the Netherlands and Belgium we also got rid of the health pass and France will stop the health pass on the 14 of March. Let's now go to the next slide on club openings. While we see that our peers in Europe only limited club growth, we have further strengthened our leading position in Europe with addition of 110 clubs. At the end of 2021, we had a network of 1,015 clubs. In France we further extended our leadership position to 528 clubs. Thanks to the opening of 81 clubs. In the next few years, I believe we can, more than double our number of clubs in France.  Perhaps a special word for Spain where our club growth acceleration plan was somewhat delayed due to the start of the pandemic in 2020. With the growth of 12 clubs to 56 at the end of 2021, we had a record number of openings for Spain, but that was just the beginning. Today, as we speak, the count is already 63. And at the end of this year, we will have more than a 100 clubs. Also in the coming years, we see big opportunities in Spain. Let's move to the next slide. If you look at the green line in the graph on Slide 5, you will see that start of the year with almost no monthly joins, because the clubs were closed. Markings two and three on the same green line show that the dramatic positive impact on our joining rates after the reopening of our clubs in the Netherlands, Belgium and France. The month of June turned out to be our best month ever in terms of membership growth with over a quarter of a million people joining and a growth of our membership base of more than 200,000. Following a typical slower summer period in which France introduced mandatory health pass for gym visitors. We again experienced strong joiner growth. Unfortunately, the arrival of the Omicron variant and implementation of new government restrictions temporarily slowed our recovery as from November. In the Netherlands, the government first implemented an evening lockdown in November and later a full lockdown in the second half of December. Let's go to the next slide where I will say a few words on how the new year has started. We had a strong start of 2022 and our joiner growth rates gained further momentum after the Netherlands ended its lockdown on January 15. This development underpins my optimism, and I expect we will reach a record of 2.6 million members at the end of March. The growth of membership is coming from newly open clubs in growth at clubs that never experience a normal in growth period due to the lockdowns and all kinds of restrictions, and of course, a further recovery of our mature club network Let's go to the next slide on Germany. During the Capital Markets Day in November, we announced that we would start in a new country in the second half of this year. I'm excited that we will open our first clubs in Germany in the second half of this year, and that we expect to open up to 20 clubs by the end of the year. For 2023 we even target to more than double the amount of openings in Germany. Our wide space analyzes points to a potential of around 600 clubs in the coming years. Today, for competitive reasons I'm not going to tell you where we going to open our first clubs, but rest assure that we have a sensible strategy. With the fitness penetration rate of 14% before the start of the pandemic, Germany is a bit more mature, for example, than France, which has a fitness penetration rate over at 8%. But it is less mature than the Netherlands, which has a fitness penetration rate of around 17%. We see plenty of opportunity in this 83 million people market to increase the fitness penetration rate by opening clubs in wide spaces and make value for money, fitness available to more Germans.  I believe that fitness penetration rates like in the Netherlands are even higher or feasible in Germany. If you look at a competitive landscape we see a highly fragmented market in Germany with only a limited number of larger value for money operators. The largest of these is a franchise operator. The average membership fee per month is €42 and it's above the average we see of €35 in other European countries. We believe that with our expansion strategy and our fresh looking clubs, we will be very successful in a country that really appreciate value-for-money concepts. That brings me to my last slide about the execution of our growth strategy. With all our clubs opened and a strong membership development since the start of this year, I believe we've made the right decision last year to move forward and announce our to accelerate openings growth to between 200 and 300 a year as from 2020 onwards. Year-to-date, we already opened 66 clubs and as you can see in the graph, we have a full pipeline, assuming no major new government measures due to COVID-19 or an escalation of the situation in Ukraine, we confirm our previous guidance of growing our network to around 1,250 clubs. By year end in this number our first [indiscernible] clubs are included. This concludes my part of the presentation, and now hand it over to Hans for the financial review.
Hans van der Aar: Well, thank you, Rene. My first slide shows our income statement and the underlying performance. Of course, the second year of COVID has had again a major impact on our reported numbers. The depreciation line, which reflects our network growth is about the only item that's not entirely distorted in both 2020 and 2021. For most other-line items it's incredibly difficult to say meaningful things or make year-on-year comparisons. Like for instance group revenue. In 2021 group revenue was 10% lower because we had a lower starting point, temporary club closures and as a result, an average lower membership base during the year. On an underlying basis, we had an EBITDA profit of €32 million for the year. This means that after €12 million loss in the first half of the year, our recovery gained traction in the second half of the year. Let's go to the next slide on mature club development. As you know, I've said it several times before we consider a club mature if it is at least 24 months old at the start of the year. At the Capital Markets Day back in November we told you that because of the pandemic we will temporarily report mature club development based on the current 504 clubs that will mature before the start of the pandemic in March, 2020. At the end of 2021, our 504 mature clubs had on average 2,646 memberships compared to 2,695 a year earlier. The small decline is entirely the result of more than five months of club closures in our largest markets of the Netherlands, Belgium and France. The introduction of the mandatory health passes for entering fitness clubs started in July in France and was later followed by Belgium and which definitely did not help. In the Netherlands we also had to introduce the help pass check and in addition, we were confronted with a lockdown; first, an evening lockdown in November, followed by a full lockdown in December. The fact that the number of mature members on average only decreased by 1% in view of what I just mentioned shows the incredible underlying strength of our business and the eagerness of people to join our clubs after reopening, and in spite of all the restrictions we had to deal with. By the end of the first quarter, we expect that the average number of members at the mature club will be around 3,000. By the end of 2022 we expect we will be back to around 3,300 members at mature clubs, the same level as before the COVID-19 pandemic started. I'm glad that with the lifting of restrictions especially the health pass, we see a further recovery of our membership base. We started in Netherlands and we now also see this happening in Belgium and expect the same – see the same in France as of March 14th. Let's go to the next slide on capital expenditure. I can't repeat this more than now, but regardless of the initial CapEx we have for a club; we only sign a lease contract for a new club when we expect to achieve ROIC of at least 30%. More expensive for example city clubs should also will achieve ROIC of at least 30%. The initial CapEx, the newly built club was on average of €1.15 million compared to €1.2 million in 2020. The cost of camera systems of around €55,000 and a remote facility system of around €10,000 are included in this average number. On the line we still see room to improve our building costs back to increasing scale benchmarking and choosing more cost efficient materials. Of course, I know there's a terrible war happening in Ukraine at this moment, and we don't know how that could impact supply chains. Still we believe that the average initial CapEx amount should be around €1.2 million in 2022. On maintenance we spent on average 50,000 per club compared to 42,000 in 2020. We decided to use a period that the clubs were closed to further optimize the club layout. We also continue to roll out of a smart camera system in more existing clubs. At the end of the year, the smart camera system was installed in all Benelux clubs. For 2022, we expect maintenance CapEx to be on an average of €55,000 per clubs, the level that you heard several times before. Other CapEx amounted to €7.5 million and is related to ongoing investments in software and innovations. One such development design new mobile phone has which we developed in-house and which has significantly improved how we interact with our members. The app was launched mid-November 2021 and always as close to half a million daily users. The higher amount 2020 included acquisition of the full IP rights of our exclusive membership administration software. It is perhaps good to remind you that we own and develop all crucial IT systems ourselves, such as our membership administration, the smart camera system and the basic fit app. Let's go to my last slide before I hand it over back to Rene. And as the balance sheet, thanks to the ongoing support of our shareholders and syndicate banks we had available liquidity at the end of December 21 of €361 million compared to €90 million at the end of the previous year. To cope with the impacts from the period our clubs were close, but also to be able to accelerate club openings from 2022 onwards, we strength our balance sheet and financing structure. In April 2021, we issued new shares at €34 each reaching 200 – raising €204 million. And in June we raised €304 million through a convertible bond loan. Excluding rent, lease liabilities, our net debt amounted to €548 million at year 2021. Based on an agreement with our Syndicate Banks for amended covenant testing at year end 2021, our net debt adjusted EBITDA multiple amounted to 2.1 compared to 4.9 at year-end 2020. As part of the same agreement with our Syndicate Banks, the [indiscernible] that covered the testing at the end of June 2022 will be based on using 2 times the adjusted EBITDA of the fourth quarter of 2021, plus the adjusted EBITDA of the first half of 2022. And now I return back to – I turn back over to Rene for outlook for 2022.
Rene Moos: Thank you, Hans. I will conclude our presentation with our outlook for 2022. Based on what we currently know we continue to believe that for this year a revenue of between €800 million and €850 million and underlying EBITDA of around €240 million is feasible. Despite the negative impact that Omicron variant and the closure of our clubs in the Netherlands in December and January had on our results. Following a strong start of the year, we expect membership growth of at least 1 million. And lastly, with 66 club opening year-to-date we are on track to reach our target of 1,250 clubs by year end. This concludes the presentation. Operator, please open the lines for questions.
Operator: Thank you, sir. [Operator Instructions] We will take our question from [indiscernible]. Please go ahead. Your line is open.
Unidentified Analyst: Hi. Thank you, and good afternoon. It's [indiscernible] here. Three questions for me please. The first one is on Germany. Can you give us a bit more detail around the price point and club economics we expect in Germany, if it's different from the rest of the portfolio? And also what kind of market share you think you can achieve here? Secondly, can you talk a bit about the cost pressures and mitigating factors, if any in the short term and what you expect the impact to be on the mature club EBITDA imagine? And finally can you please give us some guidance on the international overheads for this year given the entry into a new market? Thank you.
Rene Moos: I'll take the first two questions about detail club economics and market share, and Hans will do the last two. Well the club economics we expect more or less the same. If you look at the big cost, the VIT in Germany is around 19% compare that to for instance France is 20%. So that will be similar. We also expect a similar income in members – member base. What we see with the fitness penetration of 14% we think we could definitely grow that percentage. So the club economics will be similar to what you see in other countries where we are active, and the market share, well, if we have 600 clubs open and on average 3,300 then well depending on the fitness penetration, you can calculate the market share that we have at that moment. But what we see is that – what we see is that around 600 clubs is definitely feasible and also the 3,300 members on a mature club is also feasible. Hans, the cost?
Hans van der Aar: Yeah, the cost, yeah, of course we all see inflation kicking in and especially now with all the increase of prices of utilities of gas and electricity. Fortunately we have all the prices for our gas and electricity, all the utilities fixed until the midst of 2023. So that won't have a large impact. Of course we also see prices of equipment going up but fortunately we already built 66 clubs and we already ordered a lot of equipment which is already in our – in our stock or in the stock from our suppliers. So we will, I think for 2022 we won't have a big impact from inflation on our cost structure and on our – the price of our CapEx. So what will happen in 2023, we will see then, and I think we are well suited for coping with this for 2022. And of course also [indiscernible] is that if you look at our club economics on mature clubs, normally you have a margin of around 50%, meaning that 50% of our revenue is cost. Most of the cost is the rent, which is fixed and salary cost, the employment cost, which is also more or less fixed. So the cost of utilities is just a small part of the total cost of the operational cost for a club. So the impact is there. We can't deny it, but it's a limited impact. And fortunately, as I said we already signed contracts and have prices fixed until mid-2023. And the other thing is the international overhead. Of course Germany will have people here in this office already all working for the German expansion. Part of the Radiance team is – the property team is already working for few months on the expansion in Germany. As we just started with 20 clubs and going to 40 clubs in 2023, the impact on the international already will be limited.
Unidentified Analyst: Got it. Thank you so much.
Rene Moos: Thank you.
Operator: We'll now take our next question from Robert Faas [ph]. Please go ahead. Your line is open.
Unidentified Analyst: Hi, good afternoon. I have a few questions as well. You've said in the press release that you want to move quickly in Germany. How long do you think it could take to – to get to the 600 clubs that you target? And related to that, do you expect to achieve this mainly organically or is M&A likely or possible as well? And you at CMD, you've said some long-term targets as well. Do you expect to enter seventh country in the midterm future as well? That's the first one. And then maybe for Hans, do you still expect to be self-sufficient in financing growth from 2023 onwards? And can you remind me what this means? Does it imply a stable or decreasing net debt, or does it imply stable or increasing leverage ratio? And then lastly, obviously you don't disclose the quarterly EBIDA, which provided the leverage ratio and also the methodology to calculate it. So can you confirm that you're underlying EBITDA in the second half of €44 million was roughly split in €11 million negative in Q3 and 55 positive in Q4. And if so, yeah, it seems that you have endured more restrictions in Q4 than in Q3 as shown on Slide 3; so how come that Q4 was so strong in terms of EBIDA? Thank you.
Rene Moos: Well, Robert there was a lot of questions here and really in the detail, but I'll make the very long story. So Hans can think long about the answers of your last questions. About how fast we'll grow to the 600 clubs. That depends, but I think eventually we can reach the same speed of what we have seen in France. So the first year we will bring – we will go up to maximum of between 10 and 20 clubs. And end of next year we will probably pass the 60 clubs in Germany. And from that year-on we will speed up more. About M&A or organic, we are focusing on organic growth. Of course when there is an M&A opportunity we will look at it, but our focus will be to open 600 clubs organically. About the seventh country, yes or no, I think for the short-term say the coming years, we will focus where we are. We are busy still openings a lot – opening a lot of clubs in Spain, in France and in Germany, but also in the Benelux for instance, the Netherlands. We think we can still open at least 125 clubs, also Belgium we still think we can open at least 75 clubs. So country number seven will take a long time before we will enter that and we will focus on the current countries where we. Hans, about self-sufficient 2023.
Hans van der Aar: Yes. As I said at the Capital Market Day, Robert that we expect if everything goes like planned and of course that was in November. Things happened after November, but if everything goes like planned we'll be cash flow positive in 2023. Starting 2023 and onwards, a meaning of course that we can fund our CapEx and our investment in clubs with the EBITDA that we make, it depends, of course on the amount of clubs that we want to open. The speed of those openings, the opportunities that we see in the countries that we're active like in Germany, you asked something about speed where we will have that 600 clubs. Well that also depends on the success and the money that we make. So we'll definitely monitor that very closely. So it's difficult to say. We will have lower debt or the – but definitely the confidence are to be met and that we don't see any difficulties in that.
Rene Moos: So I think self-sufficient in 2023, if we open 250 clubs. If we open a lot more then it could be different, but...
Hans van der Aar: And it also depends on the timing of those opens.
Rene Moos: And yes, the question on your covenant on Q4. Yes, it's difficult to calculate because of course you – that the agreements that we make with the banks in this calculation of the covenant are yes, we can't share those details. We made the calculation for the year 2021 based on 4 times Q4, but also includes the exceptional items and also the COVID related items. And we made agreements with the banks on those topics, and it's difficult to share those, and we are not allowed to share those details. But you can assure that Q4 of course we had the exceptional items with all the COVID related [indiscernible], but also the COVID related compensation that we got from the governments. So it's all based on a performer calculated EBITDA. So that's part of the whole calculation that we agreed upon with our banks. So it's difficult to share all the detailed agreement and detailed information on that.
Unidentified Analyst: All right. Thank you.
Rene Moos: Sorry. We can't help you further.
Unidentified Analyst: No, that's fine. Thank you.
Operator: We will take our next question from Eric Caron [ph]. Please go ahead. Your line is open.
Unidentified Analyst: Hi, thanks for take my question. I just wanted to follow up, what you said about mature clubs. Did you – did I catch you right at the end of 2022 you expect to have 3,000 members per mature club, and if you could also help us, where are you right now? That'd be super helpful. Thank you.
Rene Moos: What I said is that we at the end of Q1 this year we'll be around 3,000 members at the mature clubs. And to add to that, we only calculate mature clubs of the number that were mature at the – before the pandemic. So the 504 clubs there will have 3,000 members at the end of Q1 of this year. And we expect to get them to the level we have free COVID and that's the 3,300 members at the end of 2022.
Unidentified Analyst: Got it. That's very helpful Thank you.
Rene Moos: And at this moment they're below the 3,000.
Operator: We will take our next question from Hans Pluijgers [Kepler Cheuvreux]. Please go ahead. Your line is open.
Hans Pluijgers: Yes. Good afternoon gentlemen. A few questions from my side. First of all on the guidance a little bit rephrased it compared to after Capital Markets Day, you now mention it is feasible. Yes, have you become slightly more cautious on your revenue and EBITDA guidance is that correct to interpret like that? Then secondly, on the membership trend, coming back on that yes, end of this quarter another 0.4 million in new members. How is it trend currently going? Is that let's say ahead of what you were looking for. Could you give some feeling on how it is performing compared to expectations? And then for the moment, sorry, two other questions, first of all, or pricing, what do you see in the market since reopening, I have seen some other players feeling some or slightly increasing pricing. What are you seeing in general on pricing? And the last question on the payments, quite significant increase on your liability side. The payments I assume that as related to payments still have to do, we got late into the 66 clubs that you have opened in the first few months. Yes, let's say there were still some exceptional high number and we expect it will come down somewhat through the year?
Rene Moos: Yes. Hans, again a few questions in a row, let's start with the first one, the guidance, if it's feasible, yes, we did put at words in. The reason is that we are a bit behind at the end of this year; we had to close down in the Netherlands. So we had after the same day, we did have some colures that didn't help. But we also saw in January when we opened we had a bit more [indiscernible] in what we expected. And also since this Monday we had to – we were able to open the clubs in Belgium completely. So no more health checks. So the health checks, it doesn't mean it work, but if you're not vaccinated, you're not allowed to enter a gym. Meaning in some cities we're like 30%, 40% of the population was not vaccinated, so they couldn't join. So that health pass was really not helpful. And we see now that when that was lifted in Belgium a few days now, only that we see a lot of joins certainly in Belgium. So we are very comfortable with this, that's why we also changed around 1 million net growth to at least 1 million net growth. So what we lost last year we will think we will gain this year. So that's why the guidance changed a bit too it's feasible, even though we had to be – we were close for a 1.5 month more or less in the Netherlands in December until 15th of January. And we do see a strong membership growth in the first 10 weeks of this year compared to expectations. So overall we think that between 800 and 850 is a number we could reach and also the €240 million EBIDA is a number we could reach. About the pricing increase with the competitors, we've seen that especially in U.S., a lot of companies increase their prices, but also more local in the Netherlands and in France, we see some of our competitors increasing prices. This is not our goal. Our goal is not to increase prices, but our goal is to get more members into the premium membership. So that way our yield will grow a bit, but we have no plans to increase prices in the – for this year or next year. Hans, the last part about payments, did you find it?
Hans van der Aar: Yes, yes, what you said is actually the reason onset; it's about the 60 clubs – 66 club openings that we did in of course those in the first months of this year. And of course those clubs were already under construction. So payments were already done or will be – will be done in the first months of this year. So that was on the balance sheet at the end of the year. So, and that will normalize in the – during the coming months.
Rene Moos: And maybe also good to mention that we – what you can see now in much that we had a lot of equipment on stock because of all the things that were happening. We thought it were smart to get more equipment in stock. So, if we want to open clubs, we would least have the equipment to work out on.
Hans Pluijgers: Thanks. Clear.
Operator: We will now take our next question from James Rowland Clark, please go ahead. Your line is open.
James Rowland Clark: Hi, good afternoon, everyone. My first question is just on your guidance. Just a follow-up on the last group of questions. Could you just remind us what the premium penetration ended 2021 at? And what level of premium penetration you think you need to see to hit the midpoint of that revenue guidance? If it looks like it needs to be a yield per member of about €24 which is a 7% growth versus H2 2021. And then secondly, on your trends, since you've reopened clubs, could you perhaps provide a bit of color on visitation trends and sort of how that compares across demographics in your core markets? And then finally, in terms of price, obviously you've got fixed contracts on energy which is keeping your club margins at a healthy level, but if we rolled through to mid-2023 your cost base is going to look substantially higher as those contracts roll off. So would that be a time that you would consider changing your pricing or your membership subscription structure potentially? Thank you.
Rene Moos: Yes, maybe I’ll start with the last no, I'll start at the beginning. The guidance on premium, I think, when you look at our current base, it is around 23% of our members choose the premium membership or 23% of our current member base is paying the premium membership. What we do see already is that the joiners, it is around 27%, 28% from the first few months of this year. So, it's growing already. We're adding some new things to the premium membership with that we think we will get that percentage even higher maybe. So, we will slowly see the 23% raise to let's say 26% or 27% this year, and even to a higher percentage next year. And with that, the guidance we gave on the average price was €22. Of course, if the premium percentage is going up, the €23 on an average customer will also eventually go up. But it's too early to tell what that number exactly would be. But we do see already an increase of people taking the premium membership. So that’s about the guidance Then, the visitation trends, I think, what we’ve seen when we lifted the health check that we had a lot more members in. So before let's say the month of January, we still had to do reservations in all countries. So, we limited the amount of people in our clubs at the same time on a 100. So that also meant that sometimes people couldn't work out on the time that they preferred, even though we can have like 150 or 200 people in at the same time, and they could all work out on their own machine, but we because of the COVID and keeping the distance, etcetera, etcetera, we kept it at a 100 people in, at the same time. And you saw when the reservation was lifted that the fitness penetration, the people in at the same time grew a lot. So, we see a lot of people using the gym again. Was it, let's say six months ago, especially the more younger people then the last few months you saw also the female members coming back. And now since the last few weeks, you also see some older members coming back. So, it's been a trend that we saw in the first lockdown that is also happening now. So, I think pretty soon we completely will be up to speed again with member visitation, which is of course crucial because if they don't visit they eventually will stop.
Hans van der Aar: And your last question was about the cost increase that we could expect in 2020 fee and what impact that could have on our pricing. Well, there's no intention to increase the pricing. We want more members in our clubs and want to the take of the premium membership. We want to increase that. So then yield can grow without increasing the pricing, and we can have more members in. But of course, we are flexible if the inflation is really keeping up for a very long period. Yes, maybe then we can look at it. But it's not our intention. Definitely we'll look at getting more revenue by increasing the length of saved members and also increasing the rate of the premium membership.
Rene Moos: So, our goal is to stay below €20, and we think that is feasible because we think the fitness, the penetration of the premium membership will rise.
James Rowland Clark: Thank you very much. What are you including in the premium subscription model that you don't already have?
Rene Moos: Well, we're including, – well, we are ahead of what our customers know then, but, okay, we are including discount on drinks and a discount on group classes, and we're adding massage chairs at the moment as we speak. So different things to make the premium membership more attractive.
James Rowland Clark: Great. Thank you very much for the color. Thank you.
Rene Moos: Thank you.
Operator: We'll now take our next question from Marc Schwartzberg. Please go ahead. Your line is open.
Richard Piekaar: Marc, we can't hear you.
Rene Moos: Marc, please unmute your line.
Marc Schwartzberg: Can you hear me now, Renee? 
Rene Moos: Yes, we can hear you now.
Marc Schwartzberg: Yes, that's good. Okay, I can use a massage here now as well. Couple of questions left. First on Germany, I think, Rene, you mentioned that you expect to go to 3,300 members per club in Germany. But that's more the average number for the [indiscernible]. For France I think it was already 37.5 and Germany with larger cities wouldn't that be more in line then with the French number? That's my first question. Shall we take them one by one so you don't have to write them down?
Rene Moos: No, it's whatever you want, whether you can put them all together. Hans already started thinking if it's a question for Hans. So maybe in particular to know.
Hans van der Aar: You have to give more time Marc. 
Marc Schwartzberg: Sorry, I forgot about that. Yes, and thinking about contract structure do you expect to see the same offering in Germany with a basic compared to premium and what have you over there, or would who only sell maybe a premium in one other contract there? Would it be different from the other regions? And then on the overhead you mentioned, yes, in the first two years, you have a small number of clubs in Germany already working with the team, but at some point when you have 600 clubs, I can imagine that, that you will have a bigger overhead linked to Germany. Could you give maybe a sort of indication what kind of uplift in the longer-term we should expect on the overhead from going to 600 clubs in Germany? And then a final one on Germany, the CapEx per gender, is everything still, as it was previously on the Capital Markets Day, that it will be more or less in line with what you have in the other regions or has anything changed that we should assume a slightly higher topics for German clubs because of wage inflation, high construction cost, and higher building material, bill, et cetera? So that’s on Germany. And then a few final ones if I may. First of all, on the Rob Heijden already asked the EBITDA Q4 used very confident, he mentioned the 55. I don't think we got an answer to that, except for you are not going to give us the adjustments, which I don't need, but can you just give us a number that would be easy for calculation purposes? That would, I think, be helpful. And then my last question is on the equipment that will go into the new clubs to be open. You say, 60 gyms, the equipment for that is already in stock. But yes, we're planning to open say 250 and the year thereafter again. So, at some point, I think, Hans, you also mentioned that the prices for equipment are going up. What will be the impact on the CapEx per gym you will reckon on what you see currently in terms of the new equipment beyond what it is currently in stock. Can you give us a bit of an idea what will be uplift to the €1.25 million per gym CapEx? That's it, thank you.
Rene Moos : Okay. Maybe to start with the last because the equipment we have in stock is already so that is clear, of course we have signed new contracts with Technogym and Matrix. So, the prices for equipment will be for this year and next year for both suppliers the same as what we have now. So, there will be no raise in price for this year or next year for equipment. So that has no impact. If you look at the…
Hans van der Aar: There's no inflation correction in those contracts sorry to interrupt Rene, there's no automatic inflation pass.
Rene Moos : Yes, there have been some inflation correction already in the beginning of this year for the new two or three contracts that we just signed. But that was limited amount, but it was an increase but that is all in the 1.2 that we mentioned. So, we expect that this year and next year that the CapEx will be around this €1.2 million. So, we are getting more smart on the build out of clubs. We still have thew advantage of scale. So, I think the €1.2 million per club for this year and next year it will not be higher. So, if you look at 2021, it was even lower. It was €1 million, €1.5 million. And we put in the camera system and we put in the system that we change the lighting, the air conditioning ventilation, et cetera, et cetera. So, the €1.2 million is a number you can calculate for this year and next year, for sure. That's about the CapEx and equipment. Then about Germany, it's a bit early to tell if it's going to be 3,300 or 3,700. If you look at the VIT, which of course is a big part of our cost if you compare, for instance, the Netherlands, it is 9% and in France it’s 20%. So even though we charge the same amount, ninety-nine [ph] per member of course it's a big difference if you have to pay 9% of VAT like in the Netherlands or 20%, like in France. Germany, the VAT is 19%. So, it's comparable to France. The market is also very big. So, we do see that the fitness penetration could be at least the same as in the Netherlands. So, if we take 3% growth of fitness penetration in Germany then, of course, we can open much more than 600 clubs, but of course also our competitors will open clubs. So anyway, it's too early to tell if it's going to be 3,300 or 3,700, but we do see a very good opportunities in Germany for growth of members and growth of fitness penetration. About contract structure, we will keep it in all countries the same. Sometimes we test things. So, we're testing in Spain for just one club membership. So, we'll see at the end of this year, if we continue with that, or even put it in more countries. We will also start testing with all in membership. So, the people can also work out in the club and have a piece of equipment at home. So, we're testing that as we speak, and we will do a big promotion in September, October this year when we will launch it in all countries where we're active. But if we do something, we test it just in one country and once we are convinced it's the right way, then we will roll it out in all countries. No, there will not be a structural change in country number six.
Hans van der Aar: Then your question on overhead at combined with the start in Germany, as I said, for the first two years, we don't expect a huge overhead growth for those limited amount of clubs. Of course, in due course, when have 600 clubs, there will be like in all countries, small headquarters, also in Germany. And with people responsible for HR and for local facility and also for the expansion. But the good thing about our companies that we are very centralized, organized that we have a lot of the IT and the finance departments are already well equipped. So, I don't see a huge growth on that. And of course, what we'll see is that overall absolutely will grow in numbers would relatively as a part of revenue it will definitely start going down, because of course we were hit by COVID, but we already were seeing operational leverage on that level. And we expect to see that again in 2023 and onwards. So, there will be more people in our head office obviously also to work with Germany. We need some more people in finance and legal department will be more people. But that's not really substantial.
Rene Moos: It's going to be a lower percentage of total cost. So, it's going to drop not rise.
Marc Schwartzberg: Yes, it’s at 11%, below 11% is still feasible that you want to mention Hans.
Hans van der Aar: That will still be feasible.
Marc Schwartzberg: And then the final one on the EBITDA?
Hans van der Aar: Yes, the third question on EBITDA without giving you too much details, of course we could amend the EBITDA of absolutely the fourth quarter was better in EBITDA than in the third quarter. The calculation that Rob Heijden made, made sense. We have to take it to account that we also got a compensation from our French government for fixed costs, which I will not, if you look at the annual accounts, you'll see that number, but we got a compensation for fixed costs and that was part of the fourth quarter. And we can adjust the EBITDA calculation for that quarter on exceptional items and also government related items. And that was all based on agreement that we did with the banks. But if you look at the calculation that Rob Heijden made for Q4 that was close.
Marc Schwartzberg: Yes, but it's a bit higher, I think. 
Hans van der Aar: Ys, if I go to the number…
Rene Moos: [Indiscernible]
Hans van der Aar: It's around €60 million for Q4 adjusted.
Marc Schwartzberg: Okay. Thanks Hans.
Hans van der Aar: For the – and that not real EBITDA of course, but it's the adjusted EBITDA for...
Rene Moos: Yes, I have calculations of these EBITDA ratio for the banks, yes. 
Marc Schwartzberg: All right. Thank you very much.
Rene Moos: Thank you.
Hans van der Aar: Thank you, Marc.
Operator: We have no further questions at this time.
Richard Piekaar: All right. Then if there are no further questions, I would like to thank everyone for their participation in their questions. And of course, as usual, if there are any follow-up questions, John, David and I are always available. So, we're happy to talk to you in the coming days. Have a nice day. Bye-bye.
Hans van der Aar: Thank you.
Operator: We have reached the end of today's conference call. Thank you for your participation. You may now disconnect.